Operator: Hello, ladies and gentlemen. Thank you for standing by for 51Talk Online Education Group's Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's conference call is being recorded. I will now turn the call over to your host, Mr. David Chung, Investor Relations for the Company. Please go ahead, David.
David Chung: Thank you. Hello, everyone, and welcome to the second quarter 2023 earnings conference call of 51Talk. The Company's results were issued by newswire services earlier today and are posted online. You can download the earnings press release and sign up for the Company's distribution list by visiting ir.51talk.com. Mr. Jack Huang, our CEO; and Ms. Cindy Tang, our CFO, will begin with some prepared remarks. Following the prepared remarks, there will be a Q&A session. Before we continue, please note that the discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the Company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the Company's Form 20-F and other public filings as filed with the U.S. Securities and Exchange Commission. The Company does not assume any obligation to update any forward-looking statements, except as required under the applicable law. Please also note that earnings press release and this conference call include discussion of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. 51Talk's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our CEO, Jack Huang. Jack, please go ahead.
Jack Huang: Okay. Thank you, David. Hello, everyone. Thank you for joining our conference call. Our growth momentum continued in the second quarter with the gross billings coming in above the guidance. Our continued growth and improved operating metrics confirm our approach to concentrate our resources on existing markets. We will remain investing in markets where we see market potential and a benefit from an early mover advantage. In this existing markets, we will strengthen our localization efforts and maximize the potential from our online and offline branding activities. At the same time, we will continue to explore new markets. We remain well disciplined in our expense control and will keep tight budget control and a focus on optimizing our resources. We look forward to further net revenue growth in the coming quarters and remain committed to our sustainable growth approach. The second quarter also saw us completing our listing transfer to the NYSE American, the transfer of the listing has concluded a time of uncertainty, and we are now in full compliance with the listing requirements of the NYSE American, removing concerns of a potential listing. It is testimony to our commitment to existing and new shareholders and it also concludes our transformation from a Chinese education company to an international educator supporting students in all parts of the world to achieve their learning goals. In terms of technology, we believe that AI-powered tutors will transform online education and the winners will be those that can provide users with the most customized content and solutions. With that vision in mind, our technology team is working relentlessly to develop the integration of large language models such as Chat GPT in our products to optimize user experience. We will launch an engaging trial product for our young learners in due course. With that, I will now turn the call over to our CFO, Cindy.
Cindy Tang: Thank you, Jack. Our business momentum carried into the second quarter as net revenues were $6.3 million, representing 12.8% sequential growth. Gross margin for the second quarter was 78.4%. Gross billings grew by 21.0% quarter-on-quarter to $9.8 million, not only beating the guidance at the high end but also reflecting some early fruits of our localization efforts. Q2 operating expenses was $7.9 million, an increase of 14.5% compared to the last quarter. Specifically, this has been driven by Q2 sales and marketing expenses of $5.1 million or 15.0% sequential increase from Q1 due to increased investment in branding and localization such as increased local marketing and operational personnel as well as various marketing activity. Q2 product and development expenses was $0.7 million, a 4.8% sequential increase due to increased research and development projects. Finally, Q2 general and administrative expenses were $2.1 million, a 16.7% sequential increase compared to Q1, mainly due to one-off administrative factors. Overall, Q2 operating loss was $3.0 million while net loss was $2.9 million, up 15.6% and 11.3% sequential increase from Q1, respectively. Q2 GAAP and non-GAAP earning per ACS were negative $0.51 and $0.48, respectively. The Company's total cash, cash equivalents and time deposits were $21.6 million at the end of the second quarter. Advances from students were $21.0 million at the end of the second quarter. Looking forward to the third quarter of 2023, we currently expect net gross billings to be between $10.3 million and $11.0 million. The above outlook is based on our current market conditions and reflects the Company's current and preliminary estimates of the market and operating conditions and customer demand, which are all subject to change. This concludes our prepared remarks. We will now open the line for questions. Operator, please go ahead.
Operator: Mr. Chung, please go ahead.
David Chung: Thank you once again for joining us today. If you have further questions, please contact 51Talk's Investor Relations for the contact information provided on our website.
Operator: Thank you. This concludes this conference call. You may now disconnect your line. Thank you.